Operator: Good morning. My name is Holly, and I will be your conference operator today. At this time, I would like to welcome everyone to the Lindsay Corporation Second Quarter 2011 Conference Call. [Operator Instructions]. During this call, management may make forward-looking statements that are subject to risks and uncertainties, and which reflect management’s current beliefs and estimates of future economic circumstances, industry conditions, company performance and financial results. Forward-looking statements include the information concerning possible or assumed future results of operations of the company and those statements preceded by, followed by or including the words expectation, outlook, could, may, should or similar expressions. For these statements, we claim the protection of the Safe Harbor for forward-looking statements contained in the Private Securities Litigation Reform Act of 1995. I would now like to turn the call over to Mr. Rick Parod, President and Chief Executive Officer. Please go ahead, sir.
Richard Parod: Good morning, and thank you for joining us today. Revenues for the second quarter of fiscal 2011 were $120.2 million, increasing 41% over the same quarter last year. Net earnings were $11.3 million or $0.89 per diluted share compared with $6 million or $0.48 per diluted share in the prior-year second quarter. Total revenues for the first six months of fiscal 2011 were $209.3 million, increasing 22% from the same period last year. Net earnings for the first six months were $15.6 million or $1.23 per diluted share compared to $12.7 million or $1.01 per diluted share for the first six months of fiscal 2010. In the U.S. irrigation market, revenues were $66.5 million for the second quarter, increasing 72% over the same period last year. Conditions in the U.S. Agricultural market supported robust demand for irrigation equipment. Commodity prices rose over the same period last year with corn increasing 86%, soybeans up 43% and wheat increasing 45%. The USDA projects U.S. 2011 net farm income to be the highest on record and 20% higher than 2010, creating positive economic conditions for U.S. farmers. We are now in the midst of our primary irrigation selling season and quote and order activity are significantly more robust than the same time last year. For the first six months of fiscal 2011, domestic irrigation revenues were $103 million, increasing 45% over the first half of last year. In the international market, irrigation revenues were $25.2 million for the second quarter, decreasing 14% from the same period last year. Export revenues decreased in Latin America during the second quarter, primarily due to a return to more normalized sales levels in Mexico as compared to unusually high sales in the same quarter of last year driven by a requirement changes in the government subsidy available to growers. Middle East sales were also somewhat lower in the quarter likely due to the recent turmoil in the region. For the first six months of fiscal 2011, international irrigation revenues were $48.6 million, decreasing 3% from the same time last year. Export revenues during the first half of fiscal 2011 were lower in Latin America, Canada and the Middle East, partially offset by higher sales in China and Western Europe. The long-term market drivers of improving diets in a growing worldwide population, combined with water use efficiencies available for mechanized irrigation systems, continue to be positive drivers for global irrigation equipment demand. Infrastructure segment revenues were $28.5 million, increasing 65% from the second quarter of last year driven by higher QMB sales, rail product sales and contract manufacturing revenues. Quarter revenues included the billing for the remainder of a major Quickchange Movable Barrier project on the East Coast of the U.S. and a new Movable Barrier project in Puerto Rico. Opportunities for selling and/or leasing our Movable Barrier products, which provide a very cost effective way to safely manage lane capacity remains excellent. While the outlook for general government funded infrastructure spending remains challenging due to global government budget constraints, interests in the QMB solution remain strong, particularly with whole supported roads and bridges. Our active near-term QMB project list has decreased somewhat during recent months as we've completed projects. However, new potential projects are added to the list as developed. Year-to-date, at the end of the second quarter, infrastructure revenues were $57.7 million, increasing 15% from the same time last year driven primarily by higher QMB sales. Gross profit was $34 million for the second quarter versus $22.1 million in the same quarter last year. Gross margins were 28.3% compared to 26% for the second quarter last year. Infrastructure margins increased due to increased revenues of higher margin QMB products. Irrigation margins were comparable to the second quarter of last year after eliminating the prior year's second fiscal quarter benefit from Nebraska State economic development incentive wage and investment tax credits. During the quarter, irrigation margins benefited somewhat from the leveraging of fixed factory expenses and from the acquisition of Digitec, offset by the adverse effect of rising steel prices in a competitive market environment. Fuel cost increases realized in the quarter were approximately 12%. Operating expenses for the second quarter were $16.9 million versus $15.2 million for the second quarter of fiscal 2010. The rising operating expenses are attributable to higher engineering and R&D expenses, sales commission on QMB projects and the inclusion of operating expenses related to the Digitec and WMC businesses acquired during the past year. Operating expenses as a percentage of sales were 14.1% for the quarter compared to 17.9% for the same period last year. Our order backlog was $64.3 million on February 28, 2011, as compared to $59.7 million on November 30, 2010, and $33.6 million on February 28, 2010. Backlog was higher at the end of the second quarter as compared to the same time last year in both irrigation and infrastructure. Irrigation equipment backlog approximately doubled over the same time last year and lead times on delivering equipment to dealers was relatively unchanged. While the irrigation backlog was quite high at the end of the quarter, it was still significantly below the highest second quarter backlog, which occurred in fiscal 2008, due in part to improved throughput in the Nebraska factory. Cash and cash equivalents of $78.4 million were $13.2 million lower compared to the same time last year. Accounts receivable increased $21.8 million due to higher sales, and inventories increased $7.7 million over this time last year. Debt decreased $11.8 million over this time last year while at the same time, the company had invested approximately $8 million in technology-oriented acquisitions. In summary, results for both the Irrigation and Infrastructure segments were significantly improved over the same quarter last year. In the Irrigation segment, increased commodity prices have resulted in improved farmer sentiment globally. While the improvement in sentiment has had the most immediate effect on the U.S. market conditions for our equipment, we anticipate continued improvement in market conditions in most of the international markets as well. And in the Infrastructure segment, we continue to see strong interest in our Quickchange Movable Barrier systems and road safety products in spite of the U.S. Highway Bill uncertainty. In addition, our strong balance sheet supports the continuation of our disciplined process to find accretive acquisitions to add new businesses and product lines and to invest in organic growth opportunities. I would now like to open it up for your questions.
Operator: [Operator Instructions] Your first question comes from the line of Brian Drab, William Blair.
Brian Drab - William Blair & Company L.L.C.: First, I have a question just on the QMB sales. So my understanding was that the East Coast project was about a $15 million project and it's about – has incurred $8 million of that right in the first fiscal quarter. So we're expecting about $7 million in this quarter. First of all, are those numbers roughly in line with reality? And then, could you tell us what the total QMB sales were in the second quarter, including that Puerto Rico project?
Richard Parod: That is roughly in line, Brian. And I would say that the QMB sales in total were approximately 50% of the Infrastructure segment sales.
Brian Drab - William Blair & Company L.L.C.: Okay. And then, in your backlog number, are you including any QMB sales?
Richard Parod: I can't say if there are QMB sales in there. I really don't know off the top. I suspect there are some. I don't know to what extent. There's not a specific large project that I'm aware of that's in that number but there’s typically some QMB sales in it.
Brian Drab - William Blair & Company L.L.C.: Okay. And then, can you give us any sense for -- in the last couple of quarters, you talk about these QMB commissions, of course, as being a material item in the SG&A. Can you give us a sense for what the percentage commission rate is on those sales or maybe a dollar value for the second quarter and anything that could give us an idea?
David Downing: Brian, it's Dave. Commission rates are generally 5% or less depending on the project. And commissions in the second quarter were similar to what they were in the first quarter. So in the $600,000 range.
Brian Drab - William Blair & Company L.L.C.: Okay. And then just lastly, can you talk little bit about steel prices and how material a headwind that was for you in this most recent quarter and what you're expecting going forward?
Richard Parod: Well, as you know steel is an important part of our cost of goods sold. It's roughly 1/3 of our cost of goods sold. So what happens with steel can have a significant impact. What we did see in the second quarter were steel increases equated to probably about 12% and we did pass through price increases through the quarter. However, we did find that we had difficulty in those price increases sticking. So there was a little more price concession in this quarter or, let's say, adjustments to discounts than what we've seen in some other quarters. And I attribute most of that to timing and the market kind of catching up to what's happening with steel prices. Now that said, we had continued to see steel increases and more price increases pass through coming off of the second quarter. But we do believe that steel will be leveling out. We're seeing some indications of that taking place in the future months, and I’m not going to project the specific data on that, but I would say that we have seen a competitive environment in the second quarter with a little bit of a lag in terms of the market catching up to steel pricing.
Brian Drab - William Blair & Company L.L.C.: Okay. And if I could go back to QMB for one more quick second. This Puerto Rico project, can you give us a ballpark to how big a project that is or if it was completed in the quarter?
Richard Parod: Brian, I don't think we want to get into the specific size of QMB projects. We have tended to try not to, but I think you could get there pretty easily. Like I said, I think if you look at total infrastructure sales, it was roughly, a QMB would be roughly about 50% of that.
Brian Drab - William Blair & Company L.L.C.: You can't tell us if that was completed in the quarter or if there's more to come with...
Richard Parod: That project was completed in the quarter.
Operator: The next question comes from the line of Schon Williams, BB&T Capital Markets.
Christopher Williams - BB&T Capital Markets: Could you guys just talk a little bit about the supply chain, what you're seeing there? There has been lots of rumblings on at least on the tire side. Possibly some difficulty getting products out the door there. And then, I'm assuming no, but any exposure maybe on the motors or anything coming out of Japan, any effect there?
Richard Parod: Well, what we've seen so far, Schon, is really nothing that would impact or has impacted delivery to our customers. So I would say, at this point, there have been some times when we've been a bit hand to mouth with some component, tires was one of those at sometime. But based on our current production schedules and forecasts and arrangements we have with suppliers, we believe that we're okay at this stage. We don't foresee a shortage. On the other hand, I would say that I am hearing of different types of products that are affected by electronic components and things coming out of Japan that could downstream have an impact on us. But I'm not aware of anything, at this point, that impacts that supply.
Christopher Williams - BB&T Capital Markets: Okay, do you have anyone that you directly source from in Japan right now either on the circuit boards or the motors?
Richard Parod: I'm not aware of any. I would say Digitec may have some. But I'm not aware of any that would have a significant or any kind of an impact. So no, there's none that I'm aware of.
Christopher Williams - BB&T Capital Markets: Okay. And then, it looks like the Obama administration has backed off of some of the new regulation, I guess, related to the railroad industry in regards to signage and electronic communication. How do you see that affecting your rail and signage business?
Richard Parod: Well, we've seen some discussion and some proposed legislation that would change the requirements for PTC, positive train control, that could affect the implementation of PTC for the railroads across the board in terms of the timing of the implementation or the pace of implementation. However, in our discussions with our customers, we really don't foresee that affecting the demand or timing of shipments on the structures that we sell. So we really haven't seen any indication that that would affect that demand today.
Christopher Williams - BB&T Capital Markets: The demand that you're seeing today is not driven by PTC? I mean, is it more of a maintenance-type product?
Richard Parod: It's a combination. I would say that some of it is primarily more maintenance. But as the railroads are addressing PTC, they are also addressing maintenance issues, and we have seen more demand come from that in that process. So I would say it isn't directly related to PTC but there is an indirect relationship. And from the indications we have from our customer base, it really is not impacted by that at this time.
Christopher Williams - BB&T Capital Markets: Okay. And then on the international side for irrigation, I mean, it looks like you got hit maybe in the quarter by some of the turmoil that we're seeing in the Middle East. What would you expect maybe for the next quarter or two going forward as assuming we get some positive development in that, particularly in that region, I mean would you expect international to start to accelerate here? I just would have, at this point, given the macro environment, I probably would have expected a little bit more in terms of growth. So I'm just kind of thinking what are you guys seeing here for the short term?
Richard Parod: Well, I think the first aspect of that is I wouldn't put too much on the Middle East turmoil. I think it has had some impact in terms of our recurring revenue out of that region, but it's not a significant impact in the quarter. For us in the quarter, obviously one of the impacts on a comparative basis was the return to more normalized sales level in Mexico. But that said, I think the more important question is, where is the growth and what's happening in terms of growth opportunities in the international markets. And the answer is that in talking with our people, they are seeing that growth occurring. And I'd say that there has been a lag effect versus the growth or the opportunities we saw occurring in the U.S. It is happening. We are seeing it occurring in more projects that are being announced or being pursued. So we expect to see continued strengthening in growth of the international markets at this time. But I think that the Middle East part of it is really a pretty small impact.
Christopher Williams - BB&T Capital Markets: Right, I understood. And where are you seeing, what geography specifically is maybe driving some of that international growth?
Richard Parod: Well, the areas where we continue to see growth is China, certainly the CIS countries, Eastern Europe and South America in general. Those areas we continue to see good growth. In some cases, we have been seeing ramping up in the last few months.
Operator: The next question is coming from the line of Ryan Connors, Janney Montgomery Scott.
Ryan Connors - Janney Montgomery Scott LLC: I want to get your take, Rick, on a bigger-picture issue, and that is the Conservation Resource Program, CRP. And we've been hearing some anecdotal evidence about those government payouts right now look obviously a lot less compelling than farming some of that land. So we've been hearing that some of that land will be coming out of the CRP. In theory, that could drive some dryland conversion. What's your take on that and has that impacted your business already, I guess, is the first piece? And then what's your outlook for whether or not that will impact the demand in the balance of this year and into 2012?
Richard Parod: Well, like you, we've heard some of the same comments. I can't say that I've seen anything tangible in that, Ryan, on a change to occur. I do think that if land does come out of CRP, one of the issues that will certainly be considered is how to improve the efficiency of that land. So from that, it would probably look at irrigation as a good solution for improving that efficiency. We haven't really heard much come out. I will say that I've looked at the, from this past quarter, at the warranty kind of data or the data that we collect in terms of where systems are installed, and we are seeing a larger percentage of systems going into conversion and into dryland. And that replacement was down some, I believe that's correct. I'll check my statistics on that, but I think that was what the numbers were showing.
Ryan Connors - Janney Montgomery Scott LLC: Okay. But in terms of a quantification, you don't have any in-house view on x number of acres coming out and expectation that that's going to drive some tangible-specific opportunity in the near term?
Richard Parod: No, I don't. I don't have anything that specific.
Ryan Connors - Janney Montgomery Scott LLC: Okay. And then just my one other question was just within the domestic market, U.S. market, can you just talk about the regional strength there, specifically whether or not you've seen disproportionate strength in the south east and kind of the cotton regions? And then, maybe where else are you seeing strength in areas that are less strong?
Richard Parod: Well generally, we're seeing strength across the United States. It's been very strong in almost all markets. So we've seen it in the traditional, obviously, corn, wheat, soybean markets and cotton markets. So we've seen quite a bit of strength in most of the regions. I can't say that there is any one that kind of stands out as not seeing, where we haven't really seen much growth. But they are all pretty strong across most of the U.S. And I do want to come back to the percentage in terms of dryland replacement conversion. Roughly, what I was seeing is, in this past quarter, or I think this is year-to-date, I should say, that dryland has probably been about 42% of the sales conversion in the U.S., about 43% and the remainder is replacement.
Operator: At this time, there are no further questions. I would like to turn the call back over to Mr. Parod for closing remarks.
Richard Parod: For our business overall, the global long-term drivers of water conservation, population growth, increasing importance of biofuels and improvements in infrastructure remain positive. In addition to our commitment to continual business enhancements and process improvement, we have an ongoing disciplined acquisition process that will generate additional growth opportunities throughout the world in water and infrastructure. Lindsay is committed to achieving earnings growth through global market expansion, improvements in margins and strategic acquisitions. We thank you for your questions and participation in this call. Thank you.
Operator: This concludes today's Lindsay Corporation Second Quarter 2011 Conference Call. You may now disconnect.